Operator: Good morning, ladies and gentlemen, and thank you for joining Oi S.A.'s Conference Call for the Third Quarter of 2023. The event will be held in English with simultaneous translation into Portuguese. Please be informed that this conference is being recorded and it will be available later on the company's Investor Relations website. During the company's presentation, all participants will have their microphones disabled. To get in line in order to ask questions, please click on the Q&A icon at the bottom of your screen and write your name and company. After the presentation, we will begin the Q&A session. Now, I'll hand it over to Mr. Rodrigo Abreu, Oi's CEO. Please, Rodrigo, you can proceed.
Rodrigo Abreu: Thank you, good morning everybody. Welcome to our Q3 2023 call. Again, I have here with me our CFO, Cristiane Barretto, who will present details on our financial results as part of our presentation. As usual, we'll cover the results for the quarter and also continue to provide other status updates about our judicial recovery process and all of the activities involved in our restructuring. Q3 is likely the first quarter where we go back to a cleaner annual comparison after the closing of all of the extraordinary operations last year. And we are again presenting our numbers and core metrics in a very standardized way to allow for the appropriate comparisons and the assessment of our performance. The new Oi model is still being implemented and ramping up as we have mentioned many times before. And we are in the middle of the natural transformation we always mentioned our business would suffer. In particular, due to the new structural separation model and due to the significant decline of our legacy business, revenues and results as highlighted many times before. I will continue emphasizing every single time that the three key pillars for Oi to be viable at the long-term and get back to being a sustainable company are the financial debt restructuring, the resolution of all of the concession disputes we have with the regulatory agency and the associated legacy imbalances. And finally, ramping up our new operating model as a client-centric digital services company, both in B2C and B2B. So let's start looking at the key figures and results for Q3, which again showed mildly positive results in maintaining growth on the core, but continue to present a significant deterioration of our legacy business, greatly impacting overall results. Let's look at the highlights of Q3 by moving to Slide 3. Q3 was without a question a tough quarter as our core segment of fiber and B2B ICT continued to grow. Although the revenue evolution was impacted by B2B telco revenues and the macro scenario. On the Opex + Capex front, we have a reduction on year-over-year metrics as we will see. Our legacy revenues now represents only 10% of overall revenues. And the Ex-Legacy New Oi revenues were impacted by the wholesale and had a small decline of about minus 3.4%. But the Fiber continued to grow even in a tough quarter at the clip of plus 6% year-over-year. As our homes connections compared to last year grew maintaining a good ARPU trend. On the B2B front, the ICT revenues had a healthy growth again, but the overall revenues were impacted by the wholesale components, which had a seasonally poor quarter. On the efficiency front, the focus continued to be the Opex + Capex savings. And this had a near reduction of 7% year-over-year or 19% if we exclude the network rental component with naturally given the new structural separation model and we expect this components to keep growing in line with the growth of the customer base and core fiber revenues. On the next slides, we provide a more detailed view on revenues. In Q3, the New Oi revenues continue to be impacted by the legacy drop and wholesale revenues as I mentioned. And this was only partially compensated by the sustained fiber and ICT growth. On the consolidated net revenues, our core results are now over 80% of New Oi revenues while legacy drops to less than 10% of total. The remaining 11% represents, as we mentioned before, the BTH revenues, which shrunk this quarter 15% year-over-year, and also contributed to an overall revenue decline of minus 12% for the New Oi or minus 3.4% for the New Oi Ex-Legacy. On the Ex-Legacy revenues, we can see that the revenue from subsidiaries in particular Serede had a significant decline given the lower volume of activity down the installation of new homes. And this was also one of the contributors to the minus 3% overall drop on New Oi Ex-Legacy. On the other hands, the fiber growth continue to occur not enough to completely offset the decline in the other components. Oi Fiber revenues now represents close to 60% of overall New Oi Ex-Legacy revenues. On Slide 5, we can further analyze our fiber results. On fiber, our revenues grew 6% year-over-year, and this was influenced both by our continuation of the increase in our customer base compared to last year, but also by a fiber market slowdown. The ARPU is improving sequentially driven by higher average speed of growth sets of a plus 17% year-over-year and a higher quality focus. The year-over-year growth continues healthy but both the annual and the sequential growth were a little bit smaller than in the past, given a tougher market environment and competition. But we continue in line to a run rates of close to R$4.5 billion in fiber revenues for the year 2023. In Q3, our homes connected number remained stable with a very minor drop, given our new focus on quality and a much, much stricter acquisition policy that we have been implementing to avoid churn and to guarantee just profitable revenue coming into the new ads. But even with the slowdown, the ARPU grew sequentially, and this was driven by the increasing average speeds of our new ads, which are now already above 435 megabits per second. V.tal also had a continuation of the growth in the homes passed base, and is now over 22 million homes covered, reinforcing its role as the key neutral network in Brazil, as can be seen by the continuation of signature of new tenants, this time with the Ligga Telecom as a new tenant of the FTTH network. To further understand the evolution of our homes connected base, let's now move to Slide 6. Q3 was the quarter here where we felt the most impact of a tougher macro and competitive scenario. In order to continue pursuing profitable growth, we have been completely transforming our commercial strategy on both the portfolio pricing and the channel mixed fronts. The market as a whole has experienced a slowdown in new net ads, as we can see by the graph, and our regions of strength actually suffered more than the average, resulting in the slowdown of net ads to a very, very minor minus 30 net ads results for Q3. But we remain focused on customer experience and fiber access as a headlight for future improvement, and we can see the results of that. According to recent surveys, Oi Fiber customers are the most satisfied fiber customers amongst the major operators, and we also have the lowest level of complaints amongst the major operators in the high speed broadband services. As I mentioned, for 2023, we have completely revised our commercial strategy, but results take some months to gain traction, and we're seeing this happen. Some leading indicators, such as the new portfolio adoption, the churn reduction, and the improvement on the channel capillarity are already visible, and we expect this to lead to much better results towards the end of the year with a good entry into 2024. On Slide 7, we can also have a quick look of what's going on with the B2B results from Oi Soluções. On B2B, the ICT revenues were up 24% year-over-year, and remain the core growth engine of Oi Soluções, representing 26% of revenues, a six percentage point increase year-over-year, and helping to reduce the effects of the volatility on wholesale contracts that we experienced in the past quarter. The ICT penetration keeps improving, while other legacy B2B revenues decline in importance compared to the past. The driving forces of ICT include cloud, cybersecurity, and ST1 revenues, which were all up at very significant growth numbers of plus 174%, plus 30%, and plus 28%. And with this, our B2B customer base has remained very loyal with a great penetration and a very high percentage of recurring long-term business, and Oi Soluções covers now 80% of Brazil's largest corporations. Now, let me turn over to our CFO, Cristiane Barretto, who will detail the results on OpEx, EBITDA, CapEx and liquidity. Cris?
Cristiane Barretto: Thank you, Rodrigo, and good morning to all of you. Moving to Slide 8, we show that OpEx, excluding rental insurance, remained stable as efficiencies in personal and third-party services alleviated inflation pressure. Total OpEx increased mainly because of the accumulated HCs growth since the change in the fiber business model, which increases expenses with the fiber network leasing, but reduces significantly CapEx intensity with a positive net result. On the right-hand side of the slide, you can see that recurring personal expenses fell 10.1% year-over-year, totaling for R$130 million in the third quarter of 2023. Oi, achieved such relevant decrease with a headcount reduction of 6,000 employees in the period, resulting from the continuous effort to adjust the structure of the New Oi to a lighter and more agile company. Meanwhile, third-party services dropped at 8.3% year-over-year, with content acquisition dropping 19% due to reorganizations and because of the decrease in the customer base - TV customer base G&A expenses fell 15% as many efficiency initiatives moved forward, offset by an increase in IT expense, mainly related to the change in the strategy of outsourcing. Rental and insurance expenses, on the other hand, grew 21.6% year-over-year due to accumulated fiber network expenses linked to an increasing base of homes connected in addition to the adjustment of inflation for the period. It is worth noting that although our efficiency measures have already shown positive outcomes, Oi still has a great room to improve its cost profile. We have many projects underway directed to the simplification of process and acceleration of efficiencies for every cost line of the company. Initiatives such as digitalization of marketing and customer experience, improvement of organizational structure, network decommission, and efficiency in G&A will surely contribute for better margins in the long term. Now, turning to Slide 9, represent Oi's EBITDA and CapEx evolution for the third quarter. Reported EBITDA reached R$381 million followed the settlement of the mobile arbitration and sales of towers, whereas routine EBITDA totaled minus R$331 million, giving the acceleration of the legacy drag and slower growth of core revenues during this quarter. It is important to mention that in this quarter, we had a non-routine total in R$712 million related to the positive impact of the recognition of the mobile price adjustment and the tower sales results offset by the dilution of Oi stakes in the tower already expected and communicated in the closing of the operation in June, 2022. Such results reflect the transition phase of our fiber operations, and we expect to improve margins in the future as the operation gradually increases its scale, dilute and fix it costs and additional cost reduction initiatives continues to be implemented. Moving to the right hand side of this slide, we show that CapEx closed at R$201 million in the third quarter, corresponding to around [8%] of sales, reducing 2.4 percentage points in comparison to second quarter. This level of CapEx shall be the norm for the company moving forward as so it shifted to a CapEx-like business operation and in line with the discipline in smart CapEx allocation, focusing on promoting growth.  Moving to Slide 10, our cash position remained stable at R$2.5 billion. In this quarter, we had a non-core cash result of R$782 million mainly related to the cash in of the tower sales in the amount of R$905 million and the regular payment of the transactions done at all. This non-core impact compensated the already expected cash consumption of the operation in the third quarter, explained by the legacy drag and why we invest to gain scale in the new fiber model. In addition, I would like also to point that the UPI mobile price adjustment settlement mentioned in the previous slides, even though it was recognized in the EBITDA in the third quarter of 2023, does not impact our cash position for this quarter since the cash occurred in October. In the debt side, I would like to emphasize that the growth in this quarter year-over-year considers the first tranche of the deep financing, the accrual for regular interest increased by the non-paid interest related to the bonds and ECAs as a result of the process of negotiation with creditors in line with the reduced recovery, offset partially by depreciation of the reais in the period. Thank you very much. Now I hand over back to Rodrigo.
Rodrigo Abreu: Thank you, Cris. So now moving on to the next slide, and heading to the end of our presentation. Before the status on our key topics, we also have our quick updates on ESG with continued new milestones on all fronts. On the environmental front, the key highlight here is the increase of our energy efficiency and our emissions as we received the silver seal from the Brazilian GHG protocol program. On the S front, we had new milestones in culture, education, and DNI. In particular, those with the reaching of the milestone of 100,000 visitors on the Futuros Cultural Center, The Desenvolve PCD program, which won the representativeness category of the Diversity in practice 2023 Awards by Blend Edu, and the launch of Plural Voices, a program to turn employees into ambassadors for diversity and inclusion. And on the governance front, we follow with our model of both simplifying and streamlining our internal controls, making them more efficient, and at the same time, more robust. So now to close our updates, let's provide a status on the three key transformation pillars and what to expect for each of them on the next two slides. On our first and foremost strategic initiative at this time, we had several updates concerning our restructuring efforts. As you saw from many of our recent material facts, we had the notification of prepayment intention with the current dip financing holders and the agreement with the new dip financing to repay the current dip and provide additional liquidity. We disclosed the unilateral termination by Sky of the negotiations for the DTH TV customer base. And with that, we are also taking all of the appropriate steps to address the DTH businesses plan and to secure our rights in connection with the previous process. We reached the post-closing agreement with the mobile trio after the sale of the mobile operations, granting a cash in of 821 million in October and settling all of the disputes with the buyers as we had anticipated that we were trying to do in a consensual negotiation rather than moving on with the arbitration. We closed the tower sale transaction with Highline contributing to the company's cash balance with an influx of 905 million. We signed a copper scrap deal as part of the efforts to restructure our future obligations, reducing then the LTLA obligations for the future. And we also have negotiations with other non-financial creditors ongoing. We began the market sounding process with the help of financial advisors to assess our strategic alternatives involving the monetization of client goal. In addition, obviously to the analysis that had been in doing with V.tal as well. And this has been defined as an important part of the future value of the company. And we continue the negotiations with the main creditors group, which are still ongoing based on a revised proposal for the GR plan, which is in discussion. As our key immediate next steps, we plan to widen the usage of restricted tower sale cash from Anatel to allow for payments related to the concession services. As you remember, those funds were initially restricted by Anatel and we are now discussing and close to obtain the approval to use those funds in the concession expenses. We also expect to reach the precedent conditions to receive the new dip financing and repay completely the previous dip financing facility. And we expect to conclude the final GR negotiations and discussion for presentation by the end of the year. So we can then move to an approval as soon as practical in a new creditors general meeting to be convened by the company's judicial reorganization board. Moving on to our final slide, Slide 13, we can then look at the next two pillars of the concession resolution and the operational buildup. On the concession updates, the key advancement was the opening of the formal admission by TCU of the concessional agreement process. All TCU minister approved the admission and the regular meetings of the group have started to occur in October, including TCU, AGU, Anatel, the Ministry of Communications and obviously the company. The expectation is now for this agreement to be discussed and reached in the next 90 plus 30 days, which is the formal deadline that the consensus group has to finalize its works. And on the operating front, the challenges and execution focus remain the same, both on maintaining growth on the core and reducing costs everywhere else. It's worth highlighting the new deep dive on reducing costs with the help of an external team who is working with us, continues to be one of the key activities that we do to simplify and streamline the company moving forward. We also expect to continue the evaluation of the strategic alternatives to optimize the DTH TV business with in the light of SKY's unilateral decision to exit from the DTH deal and to continue pursuing the profitable growth and the scaling of our fiber model. In summary, we know Q3 was a tough quarter in terms of many of the sheer results, but we're also able to advance very critical topics such as the settlement with the mobile buyers, the agreement process with TCU, Anatel, the closing of the fixed towers and the continuation of restructuring efforts with our creditors, which led to a renewed and improved the support as we finalize now the final touches on our JR plan until the end of the year. As usual, the entire company remained committed to complying with everything that we proposed and set out to do. Thank you very much. And I believe we can now move on to the Q&A part of our call.
Operator: [Operator Instructions] So our first question comes from Mr. Leonardo Olmos, sales side analyst in UBS. We'll now open your audio for you to ask your question. Please, Mr. Leonardo, you can proceed.
Leonardo Olmos: Hello, everyone. Good morning. Thank you for taking my question. So my question is related to the agreement with V.tal for the users of network. I know, of course, you cannot disclose many details, but can you talk about how this agreement has evolved in the last years for Oi in terms of costs? What types of adjustments had to make to improve profitability for Oi as a client of V.tal? This is the first part of the question. The second part of the question is related to an eventual sale of Oi client code. How willing is V.tal to change that contract? What could be a potential request of acquirers of related to changing that contract with V.tal? What type of things could change there? Anything, I know you cannot give details, but anything will be much appreciated? Thank you very much.
Rodrigo Abreu: Thank you, Leonardo. On your two questions, first addressing the agreement with V.tal. Before we dive into the question, we have to remember that obviously our agreement with V.tal is a multifaceted agreement because it's at the same time an agreement that represents part of an M&A transaction. So there are components which came from the M&A transaction, which obviously had to include some guarantees in terms of an investor who is pouring a significant amount of funds into purchasing an infrastructure based, on the results that this infrastructure is expected to generate in the current contracts, we have with them. And then there's obviously the natural daily commercial topics that appear on a regular relationship between infrastructure provider and consumer of this infrastructure as a renter of this infrastructure, right? As far as the first one, obviously there are certain components of the agreement which are natural, which were highlighted and disclosed when the whole transaction was approved and disclosed back last year. And then they continue to be tweaked here and there to actually better reflect the operating nature of the agreements over time, such as how to calculate the minimum usage requirements that we have, how to calculate for what are the granularity of calculation of how we occupy the network insurance of, our minimum occupation requirements and things like that. And this continues to evolve. On the other fronts, on the commercial agreements, obviously this is based on a natural relationship between provider and clients. And this includes discussing what do, we do with the price readjustments every single year. As you know, every single contract has price readjustment conditions that eventually can be renegotiated, can be alleviated, or can be maintained and compensated in the next period. And this is one of the areas where we have been discussing. Obviously we did have some price increases as part of our contract. And I believe this shows as part of our rental increase, rental expense increase that Cris highlighted in her part of the presentation. But we also have interesting things that have been done with V.tal over the last year, such as creating new portfolio offers for specific areas. So, we have been launching specific portfolio offers for specific areas which go away from the original agreements, which were more well-defined with pretty much a single view of a portfolio pricing. And now we have been launching different offers with either lower or higher speeds than the base speeds. And obviously with the significant discounts for the higher speeds and a more attractive pricing for the lower speeds as well. And so, this has been done. We also have been discussing how to increase the efficiency of the installation and how to obviously agree on the expansion of the network which also brings to us impact in terms of the minimum occupation that we must have in the future. So all of those discussions on a commercial front pretty much happen every single day, Leonardo. And they're just the natural relationship between, again, as I mentioned, provider and client. We expect obviously that we will be able to always be as close as possible to market conditions because V.tal and has to be a neutral network player. And obviously as we have certain protections in our contracts in terms of the NFN [ph] clauses and things that obviously we inserted so, not to keep the contract unbalanced for us, compared to other players. We expect that those contracts will naturally converge to market pricing conditions. While this happens, obviously it's a natural discussion every single day, but many things have changed since the original agreement, as I mentioned. In particular, new portfolio pricing, new speeds, more speeds, increased speeds compared to the base speed that we had at the beginning of the process, without any price increase, compared to what we had before. And expansion areas of discussions every single day, okay. So this is the first part of the question. I mean, it's again, as you mentioned, we cannot provide all of the details given that we have competitive information as part of it, but discussions have been occurring pretty much every single day with V.tal. On your second question, the eventual sale of client. First, let me just take something from over the table when I know that in many cases people are asking, given that we announced with the material fact that we had hired a financial advisors, to assess the market and understand the value of our client or as part of our discussions of the JR plan going forward. Let me remind you that even in our first version of the plan that we presented at the beginning of the year. We also had, we always had several components of value for the company in the future. Remembering that we must have a way of actually both reducing our debt and then being able to pay our debt with results from the operational results of the company going forward, but also with results coming from asset sales in particular. We always mentioned that the V.tal would be an asset that will be sold in the future to take care of that. And in our first version of the plan that we presented at the beginning of the year, we had included the sale of a percentage of our client go in order to face some of the debt reduction obligations in the future. So obviously we understand that this was part of the game plan for the future. In terms of what would happen with this eventual sale. As we discussed and we announced in the material fact. We know that we must assess the market and we hired advisors exactly to do that. We know that, as I mentioned in the response to your first question, the overall relationship with V.tal should converge to a pretty much market conditions and market pricing and in a natural relationship, between a neutral network player and clients. And we also know that as part of the first set of conditions that, we have with V.tal, which came from the M&A components. Some of those might be discussed or will have to be discussed between potential buyers, potential interested parties and V.tal. And I believe that this is just a natural as it happens, okay. So, I mean, I don't see any impediment for what we're doing here just, because of the relationship we have with V.tal. Obviously it's something that will have to be discussed in the future. But our whole process of assessing the market comes exactly to understand, what are, the critical points, that we must address in the future, what are the ranges of valuation that we can have when considering this as a part of the overall assets of the company to take care of that in the long-term. And it's just natural that this is going to occur during this process that we have running right now.
Operator: [Operator Instructions] So, I will now hand it over to Luis Plaster, IR Director for questions from the audience.
Luis Plaster: Okay. Thank you. So as usual, we'll now move to Portuguese where we focus on the questions received on the platform in Portuguese and we will answer them in Portuguese.
Rodrigo Abreu: So, Rodrigo, the first question we received here came from Daniel Graziano from R2C Investments. And he is asking about what will happen with our stake in V.tal until 2025.If we can give any projections on the company's performance? And what can happen until 2025? And how this participation can advance? So if you can tell us a bit more about that. So, as I said during my answer to Leonardo, the agreement that we had with V.tal and this entire process was made public. So there are some conditions in the contract that allows some changes in the stake in the future depending on a few events. Some of them are natural. So future capital increases, we had an event after closing the agreement with CPT&D in our participation, our stake in the fund, and also with V.tal's future performance according to some of the agreements laid out in the contract. So these metrics were natural to protect investors as they have an expectation based on the seller case, but the future metrics of course can't be determined beforehand. We still have some time until the end of 2024 to assess how these metrics will be complied with. So we can't say in advance how much it would be diluted by the end of 2024, if it would be. There is a possibility, this is a part of the contract and this is provided for in the contract and all of our plans in our restructuring plan as we've communicated to the market. Obviously, we can take more extreme or more conservative positions to calculate this and you can also have an average position. So it's hard to predict, because these are metrics that will be based on V.tal's performance and not Oi's performance. So we have to wait and see what's going to happen to their performance over time. Thank you. We've also received several questions about the rent and insurance line. So I'll take one question. So [indiscernible] says that since this line went up from 12.7% to $1.1 billion and with the number of connected households has not grown either, how can this explain an increase in cost and where are the most favorable conditions for Oi in fiber contracts?
Cristiane Barretto: Okay. So this line includes transmission contracts, which is done with V.tal and some other items. An important impact that affected this quarter was a readjustment in inflation during this period. It was applied in June and July and it had a bigger impact than the previous quarter. So this line reflects a growth in houses connected and B2B in our client space, not only in that month. We also have the cost of new client acquisition and also that deferral on contracts for past periods. So this is based on a prior history and it's not necessarily connected to the quarter itself. This is an accounting model where we allocate costs to different months throughout this period, besides inflation as I've also mentioned. There's also an important impact of the B2B and wholesale contracts that is not directly connected to the fiber business.
Rodrigo Abreu: Thank you, Chris. I have a question here from the platform. And this question is from Alessandro Cavalcanti-Goncalves. It's for Rodrigo. So what is your intention to sell ClientCo.? Is it a partial sale? Will it be the entire client base? So if you could give us some more details on the company's intentions there? Thank you. As I've said in the answer I gave to Leonardo during the Q&A session in English, when we had our first version of the plan that was communicated to the market in the beginning of the year, we had already foreseen that on the long-term, the company would need to, for its normal operation and for the possibility of making it cover costs of debt after negotiations, the company would need to have non-organic movements, including selling stakes in V.tal in the future, and a part of ClientCo, as we saw in the plan that was published in early 2023. Since we are adapting this plan with all the changes that happened to the market and since we need to adapt this to something that is sustainable for the company long-term, our contracting of advisors was due to this understanding of what our stake would be at Client. So we don't have a definition on what kind of sale this would be, what size, but of course, thinking strategically, you can't, it wouldn't make sense to sell some of our base. Because this is a business that depends on scale and it depends on growth, which has been taking place. Although, as we highlighted during the presentation, Q3 has been a quarter in which growth has not been so slow. There's been some decrease that can be disregarded, but basically the base has remained stable. So when we considered this process of selling ClientCo, I mean, this needs to be based on market analysis, which is what we're doing right now with our financial advisors. And they are going to tell us what is the potential valuation of this size - of this part of our business for the future. So these definitions don't exist yet. They're being discussed. There are several scenarios being created, but beforehand, we understand that our stake or our client operation, it is significant. It's one of the biggest fiber operations in Brazil, and it will definitely help us in the future to meet our obligations to pay debts and to create a sustainable organization to really normalize the company's status. Thank you. Rodrigo. We also received many questions about our churn for Oi and how it's been advancing and how it stacks up to the rest of the industry? And there was a lot about expectations. So we talked about a new strategy focused on quality and what is the company's expectations on the evolution of churn or the number of homes connected? Great. So as you know, we have many companies that are public, right, major operators and some ESPs that became public companies, and no one really gives their churn in detail because this is one of the most competitive metrics among companies. What we have seen is that obviously, at first with the sequence of growth that we see in the market and with a deterioration of the macro environment, we've seen churn levels increase significantly at the end of last year. These levels obviously have required us to review our strategy. We've seen a general reduction in the market, and you can see that the total market growth is still positive as someone highlighted in one of the questions, but growth reduced significantly for all players in the market. And this was due to not only a macro total, but also a reduction in churn and some defaulting. We are relatively impacted by our work and our geography in general. We have a very robust base, as was said, it has over 4 million clients. It's the second biggest in the country, but we have a geographic share that is basically in areas where we have a higher churn due to client defaults. So the most important thing for churn in our strategy, and we've changed our acquisition strategy recently. So this is due to this change in results. Our goal is to have better quality acquisition. It's not hard to have higher acquisition, but obviously when you do it, you reduce the quality of that acquisition since this can become churn in the immediate future. So, we really focused on improving quality for our acquisition. With that, the number of net ads has gone down, but it's gone down in a good way. And we're bringing in clients who have an expectation of having positive returns. Of course, that can't be the only explanation. And that's why I mentioned in my presentation that one of the company's main focuses from the end of the first quarter has been a change in commercial strategy. And that implies changes in the portfolio with regional portfolios, right? In that question about V.tal we've talked about how we're creating a portfolio that will have different characteristics and different pricing for different regions. So regions that are more susceptible to this kind of offer. Changing our portfolio is important to change the quality of our acquisition and even to make sure that our churn will reduce. We've made some changes in our credit analysis to prevent clients who have low quality from coming in. And at the same time, we're also increasing our capillarity for channels, but we're doing it differently with larger channels and also emphasizing our own digital channels. Looking at churn trends, although we don't publish specific numbers, they have gone down. This has been a sequence of quarters where the churn has gone down. It continues to go down during the third quarter. We believe we will see a much better aligned churn, although we're working in areas that have a higher churn. So churn will go down and connected to that, we have to remember a couple of other things. Obviously, we've also had portfolios for higher quality clients, not only clients with higher speeds. So we're trying to include clients with higher consumption patterns with new offers like Fibra Series. So our aim is to bring in clients who have more quality and high availability of funds. So we see that, for example, clients in Oi Fibra series have lower churn levels. So we're also working on this side on consumption. Finally, it's worth reminding you that our NPS is quite high. Our NPS in comparison to other major operators, I would say is probably a benchmark for Oi Fibra. And this is the most important element for us so that we can make our long-term churn drop, but many things affect our short-term churn. So for example, credit policies, pricing policies, but at the end of the day, this will all depend on the quality of the service we provide. So we've been focusing on having high quality services. There are some studies, in fact, from some agencies that measure network quality, and they show that Oi Fibra is the best in the country in several of the metrics used. And this is reflected in our NPS. So churn will tend to go down. We know that it has to, and all of our initiatives in the company are aligned to make sure that it does. Great, thank you, Rodrigo. So I'm looking at the platform, and I think we were able to answer all of the questions that were asked. Many of them are repeated, but those were the main ones. So I'll pass it over to you, and Chris, if you'd like to give any final messages to other market. Thank you, Luis, and thank you, everyone. We know that there's still a lot that needs to, that can happen. There's still a lot of work to do. We have some things to be done in the restructuring front. I gave you some updates on that. With negotiations with creditors, and looking at the company's strategy, there's a front with Anatel and TCU, and we're very confident that we'll be able to have a good result with it. And it's absolutely essential for the company to be viable. So we've made some great advances in the last months there. In the most crucial phase of the negotiation with TCU, Anatel and AGU, and obviously the operational front, meaning, strategic changes, reduction in costs, new offers, reducing the impact of the legacy, and this is a new front that we didn't even give you many details on, but there are many initiatives there to reduce the company's cost. And what we expect is to present a plan that can really be viable for the company across all of its fronts. Costs, restructuring and paying future debts, valuing our assets, and in the operational front to expand our results. So thank you everyone, and we'll speak during the next call. As a reminder, the Investor Relations team is always available to answer the questions you send us throughout this time. Thank you.
Operator: Thank you very much. We're just about to end the conference call for Q3 of 2023. And for more information, do not hesitate to access www.oi.com.br/ra. Please, you're free to disconnect now.